Operator: Good morning, and thank you for attending Unifi's Fourth Quarter and Fiscal 2025 Earnings Conference Call. Today's conference is being recorded. [Operator Instructions] Speakers for today's call includes Al Carey, Executive Chairman; Eddie Ingle, Chief Executive office; A.J. Eaker, Chief Financial Officer. During this call, management will be referencing a webcast presentation that can be found in the Investor Relations section of unifi.com. Please familiarize yourself with Page 2 of that slide deck for cautionary statements and non-GAAP measures. I will now turn the call over to Al Carey.
Albert P. Carey: Thank you. Good morning, everybody, and thank you for joining our call today. There's been a lot going on at Unifi throughout quarter 4. In fact, some of those activities that I'll mention are spilling into the early part of Q1. So it may be difficult to see the impact of those activities in our Q4 metrics. So what I'd like to do right now is just give you a list of 4 key developments that took place in Q4, which will explain more clearly why we are confident about the improvement in our business for the fiscal 2026. So here's the first one. We have ceased operations in our Madison, North Carolina facility. It's been sold, and it has been the biggest cause of profit misses in our past performance. So we were happy to get that behind us. The real estate was sold for a premium and the proceeds have helped us pay down a significant portion of our debt. A large part of the volume that was in Madison has now moved to Yadkinville, North Carolina facility and some to our El Salvador plant where we expect future growth from the demand in Central America. Number two, our Yadkinville, North Carolina plant is our largest and assumed new volumes from Madison that equates to 40% increase in the Yadkinville production capability. This is beneficial for our capacity utilization for the company in North America, and it helps with the economics for our North America business. The transition has required us hiring 100 new employees in Yadkinville and the installation of new additional equipment and procedures. So that has caused a transition with some inefficiencies in that plant. But we're managing through all of that right now, and it will be mostly complete by the end of quarter 1. Progress is happening each week. It's not a technical issue. It's labor training, which is the biggest factor in this transition, which we feel confident in accomplishing. Number three, we've seen headwind in revenues for both North America and for Asia beginning in May and continuing as consumers work through the complexity of tariffs. Understandably, many of our customers are making decisions about how much they order and what location to minimize their tariffs. That has had a significant negative impact on revenues since late April, and it continues today, but we believe it's likely to work itself out over the first quarter. And we believe when it's all completed, the net impact to our business on tariffs will be neutral to slightly positive. And then fourth, we have received very positive feedback from our customers on the circularity innovations that we call REPREVE Takeback and also ThermaLoop insulation. These products have a significant impact for carbon reduction goals, specifically the new REPREVE Takeback stable fiber reduces greenhouse gas emissions by 77% versus virgin polyester. So this feature is very interesting to our retailers, but more importantly, it's very appealing to our consumers, especially the young consumers. These products have been slow to build. We launched them last year about this time. But several large customers will most likely be activated and I would say, in the second half of our fiscal year. So if you look at the innovation, and you look at the Americas leaner operations, we expect a significant improvement in our profit potential and our positive cash flow for our company. And you should expect to see improved performance in Unifi in fiscal '26. Some of those benefits will show up in Q1, but they'll increase sequentially throughout Q4. Now I'd like to turn over the presentation to our CEO, Eddie Ingle.
Edmund M. Ingle: Thanks, Al. I'll start with an overview of the fourth quarter. Please turn to Slide 4. As Al noted, our results for the fourth quarter came in below our expectations due to softer ordering patterns driven by the recent tariffs and trade uncertainties. Although we are certainly disappointed with this outcome and the impact caused by these trade uncertainty headwinds, we want to emphasize that we do not believe that we lost any future sales because of these challenges. Instead, many of our global customers chose to pause their ordering patterns until they are able to better understand the tariff landscape, which has continued to change on an almost daily basis. So to provide some context here, I'll highlight some larger customer trends during the period. Six of our larger American customers that consistently order over $1 million of product per quarter all chose to withhold their orders as they wait for global trade clarity. And as we sit here today in mid-August, we see these order patterns improving and thus, we believe that these impacts on our business, especially in the Americas, are transitory. Based on the recent U.S. apparel retail sales trends and reduction in apparel inventories, we believe there continues to be solid pent-up demand, which we expect to benefit from in the near future as the current trade policies become clearer. So I think it's important to provide some clarity on the impacts of the tariffs in the key regions that we operate in. During Q4, we saw the following in the Americas. Many brands temporarily paused their intended production growth in Central America until there was more certainty where the tariff percentages would fall. The region is ideally suited to produce basic wear and activewear and our future expectations for growth in demand remain, and these demand expectations are underpinned by our conversations with the brands around capacity and also capabilities in the region. In Asia, brands are reassessing where they need to move the final assembly step of their supply chains. These decisions are expected to be made in the near future as the final tariff percentages for the 2 largest countries in the region, India and China, are negotiated. Over the long term, we continue to see immense opportunity in the region because the majority of the world's polyester production still stems from China-based assets. In Brazil, the majority of our sales occur within that country, which insulates the business segment from the recent tariffs from a demand perspective. However, the dumping activity from Asian companies continues, along with some foreign exchange volatility. Our volume levels have remained strong, but we've seen pricing pressure that we expect to be reduced as commodity prices settle and our on-hand raw material costs better reflect the selling prices. The Brazilian government is also considering the impact of dumping on the industry and several antidumping cases are currently being adjudicated by the government, which should be completed by mid next year. With all that said, I would now like to provide a brief update on the progress we have made to optimize our operations and drive greater efficiency across the business. Over the last 2 years, we proactively reduced costs, prioritized efficiencies and streamlined our business. And the last step in that process was recently completed to the sale of our manufacturing facility in Madison, North Carolina just recently in May. This transaction allowed Unifi to reduce outstanding debt and is expected to generate over $20 million in annual operating cost savings once we complete all transition and restructuring efforts. As we talked about last quarter, this move results in a dramatic increase in our utilization rate across our remaining facilities. In terms of our specific performance, during the fourth quarter of fiscal 2025, we reported $138.5 million in consolidated net sales, which was down 12%. In the Americas segment, we experienced a year-over-year decline primarily due to reduced sales volumes stemming from trade uncertainty and some productivity shortfalls caused by the consolidation of our U.S. yarn manufacturing operations. Our Brazil segment witnessed stable demand and strong volumes, but experienced margin headwinds during the quarter, primarily due to unfavorable pricing dynamics and foreign currency translation impacts. Long term, our confidence in the Brazilian textured polyester market remains high, and we expect to see profitability levels improve throughout fiscal 2026. In our Asia segment, we have continued to face impacts from macro market-driven pressures, which have turned out to be more significant than we had initially expected. The general economic slowdown in China has been exacerbated by the lower demand in Asia, driven by the U.S. tariff uncertainty. However, we do believe that these impacts will begin to moderate as trade negotiations are finalized. As I mentioned earlier, our fixed cost profile in the region remains low and our asset-light model can be applied in many other countries. And thus, we will continue to adapt to the short term and we'll be ready as global trade conditions shift and/or normalize. Turning now to Slide 5 for an update on REPREVE. During the fourth quarter, REPREVE Fiber represented 30% of sales, down 4 percentage points from the previous year due to trade policy uncertainty impacting ordering patterns. However, we continue to believe that we'll see an improvement in our REPREVE Fiber business during fiscal 2026 as our previously announced REPREVE Takeback filament yarn and ThermaLoop products begin to gain more traction with our customers. To highlight some of this early traction, I want to be clear that the push towards sustainability and circularity has not waned with our large global customers, particularly those in the apparel space. In fact, we've been engaged in consistent and highly constructive conversations around these new products. Many of these customers are leading brands and actively advancing efforts to make use of textile waste and incorporate more circular materials into their products as they work towards ambitious sustainability goals. As these brands continue to make progress on the commitments, we anticipate that we will see growing demand for our REPREVE Fiber sustainable solutions that will position us as a key partner for these brands to support their long-term sustainability objectives. Moving now to Slide 6 to highlight some of our recent innovation and marketing efforts. In May, we announced the launch of Fortisyn, an abrasion-resistant yarn engineered for ultimate durability in tactical applications. Fortisyn enhances fabric performance with superior tear and tensile strength, making it an ideal solution for military uniforms, first responder apparel and other high- performance tactical gear. We also just launched A.M.Y. Peppermint, which is an odor control solution offering a botanical alternative to traditional antimicrobial treatments that contain metal-based compounds such as zinc and silver. This technology is offered as part of our REPREVE portfolio of fibers, allowing the brands to maintain their desire to build more sustainable textile platforms while at the same time, offer better performance. Additionally, over the past quarter, we've sustained strong momentum following the global launch of 2 other breakthrough technologies, Integr8 and REPREVE with CiCLO. We've amplified all of our launches through our presence at key industry trade shows. We continue to get co-branding support from several key partners, including Hurley, West Elm, Dockers, Walmart, Lovesac and Headsweats. These brands showcased their uses of REPREVE, REPREVE Takeback and REPREVE Our Ocean across a diverse number of product lines. Notably, Headsweats' outfitted athletes, referees, champions and their event merchandise in an apparel made with REPREVE that prominently featured our bottle hang tag at the U.S. Open Pickleball Championship. Our collaborations with Walmart continue to scale and highlight circularity in action. This past quarter, Walmart showcased its use of REPREVE Takeback made from recycled textile waste in its top-selling Joyspun Sock, demonstrating how circular design can deliver affordability, quality and style at mass scale. Finally, our Champions of Sustainability event during Earth Month hosted attendees from top global brands, press and influencers. The event featured a keynote addressed by Noel Kinder, former Chief Sustainability Officer at Nike and included a tour of our Yadkinville, North Carolina facility, where guests witnessed firsthand our textile Takeback process, transforming fabric waste into REPREVE Takeback products. We were very pleased with the publicity our event garnered with coverage coming from outlets such as Vogue Business, Forbes and Sourcing Journal. Now before I call -- turn the call over to A.J., I want to quickly mention that we are continuing to see positive momentum in our beyond apparel initiatives in carpet, military and, of course, packaging applications. We believe the investment we have made to develop and commercialize the previously mentioned Fortisyn product offering will allow us to expand our presence in the military and tactical gear market and currently anticipate the sales from this technology will be a meaningful contributor to our financial and revenue growth in the second half of fiscal 2026. With that, I would now like to pass the call over to A.J. to discuss our financial results for the quarter.
Andrew J. Eaker: Thank you, Eddie. As both Eddie and Al noted, the recent sale of our Madison manufacturing facility highlights the significant progress we have made to reposition our business for long-term growth and improved profitability. We remain focused on keeping our variable expenses across both production and administration functions low, which will help create both cost savings and increased profits. That will allow us to continue to reinvest into critical growth areas, particularly in our Beyond Apparel and REPREVE Fiber initiatives, which will strengthen our revenue performance and support sustained margin expansion. Moving on to financial results on Slide 7. You'll see our consolidated financial highlights for the quarter. Consolidated net sales for the quarter were $138.5 million, down 12% year-over-year due to the reasons Eddie outlined a few minutes ago. Gross profit was also lower as it was unfavorably impacted by softer sales and profitability in the Asia segment and transition costs in the Americas segment. Those transition costs during the period totaled approximately $10.6 million. Turning to Slide 8. In the Americas segment, net sales were down 6.6% compared to the prior year due to lower sales volumes from trade uncertainty and productivity shortfalls during the consolidation of U.S. yarn manufacturing. Gross profit was lower due to inflationary pressures and the manufacturing footprint reduction costs. Slide 9 displays our Brazil segment, which saw net sales and gross profit decrease versus the prior year. As Eddie noted, this was primarily due to unfavorable foreign currency translation effects, cost dynamics and import price pressures. That said, demand and volume levels remain stable and our competitive position and growth opportunity remains strong. Finally, on Slide 10, our Asia segment saw net sales and gross margin decline by 28% and 340 basis points on a year-over-year basis, respectively, due to the continued challenges in the region for both sales volumes and less favorable sales mix in China. With that said, our ability to adjust and flex our asset-light model helped us still deliver double-digit gross margin in Asia. Slide 11 outlines our capital structure. In May, we closed on the sale of our manufacturing facility in Madison, North Carolina for $45 million of proceeds, with $25 million of net proceeds used to reduce the existing term loan balance and $18.3 million of net proceeds used to reduce outstanding revolving loans. As a result, our term loan balance was reduced to $67 million at the time and revolving loan balance was reduced to $5.6 million, thereby reducing our debt principal by approximately $43.3 million. This principal reduction should save us $3 million in annual interest expense going forward. From a CapEx perspective, we prioritized critical investments in 2025 and are forecasting under $12 million in fiscal 2026. We've also done a great job managing our working capital over the last few years and expect to continue that work in fiscal 2026 from a leaner manufacturing base in the U.S. Looking forward, we will see some nominal manufacturing transition charges through the first quarter of fiscal 2026 as we finalize the machinery footprint. We expect those costs to range between $1 million and $2 million. At that point, these costs should be materially behind us. Importantly, we do not anticipate any reduction in production capacity or impact to customer service during or following the transition. Once the transition is complete, we expect to realize over $20 million in estimated annualized operating cost savings. We will continue to provide additional updates on the progress of this transition and the associated cost savings benefits as the process advances. With that, I'll now pass the call back to Eddie.
Edmund M. Ingle: Thank you, A.J. Now let's turn to Slide 12 to discuss our forecast for the first quarter of fiscal 2026. For the first quarter, we are expecting net sales and adjusted EBITDA to improve sequentially from the fourth quarter of fiscal 2025, primarily driven by cost savings in the Americas segment and demand normalization. As A.J. mentioned, we'll see the last of the Americas restructuring and transition expenses primarily equipment relocation and fine-tuning of costs somewhere between $1 million and $2 million. As we move through fiscal 2026, we expect to see the benefits of our efforts to improve efficiencies and reduce costs, while at the same time, increase utilization rates at our remaining facilities. While we can't predict the exact timing of this, we also expect the global trade situation will gain greater clarity as we work through the rest of the calendar year. This should help us see incremental improvement of the top line throughout fiscal 2026. That improvement and the full impact of lower manufacturing and interest costs should support a more profitable business and positive cash flow in fiscal 2026. To wrap up on Slide 13 with our strategic priorities. As we look forward to fiscal 2026, we recognize that our business is not yet where we want it to be. We have made the necessary changes to strengthen our business, and we believe we are in a great position to capitalize on the investments we have made in new innovations and circular textile solutions. Achieving our goals will require continued patience and persistence, but I think it's important to summarize why we believe we can make this pivot as the trade and tariff situation settles down. First, we have enhanced our competitive position, improved our cash generation capabilities and strengthened our profitability, all of which will contribute to better performance for Unifi in the future. We've continued to actively invest in our business to help better serve our customers' needs, which is evident by our recently announced innovative REPREVE Fiber products and advancements in Beyond Apparel. Currently, we hear from our customers that there's a pent-up demand from their customers, the brands and retailers, and they are slow to release orders because of tariff uncertainty. As we mentioned earlier on in the call, we believe that the impact of the tariffs is temporary and many of our customers will need to open up their order books if they are to fulfill the needs of the upcoming spring and summer seasons. Additionally, we are engaging in productive discussions with some of our largest customers regarding circularity. Many of these major brands are advancing their efforts to reduce their consumption of virgin fossil fuels and incorporate more sustainable and circular materials into their products to meet sustainability goals. We believe as these customers progress towards achieving these targets, there will increase -- there will be an increase in demand for our sustainable solutions. In Asia, we have also taken steps to help mitigate the impacts of the headwinds we are currently facing in China and have an operating model that has allowed us to stay profitable and can flex as conditions normalize. And finally, our competitive position has improved in the key markets that we operate in, and we believe that this has positioned us well to capitalize on customer demand as market conditions stabilize. All of these factors combined give us a strong confidence that we are in a better position than ever to achieve improved results. Moving forward, our focus will continue to remain on optimizing our operations, strengthening our financial performance and creating long-term value for our shareholders. With that, we would now like to open the call for questions. Thank you.
Operator: [Operator Instructions] Our first question comes from the line of Anthony Lebiedzinski from Sidoti & Company.
Anthony Chester Lebiedzinski: Certainly, definitely good to see the balance sheet improvement even with continued challenges in the dynamic and certainly a volatile operating environment. So first, this may be a little bit difficult to answer, but just thinking about the transitory demand disruptions that occurred in the fourth quarter because of trade policy uncertainties. Can you try to put a number on that in terms of the impact on sales and how much of that could still spill over into 1Q?
Edmund M. Ingle: Thank you, Anthony, for joining us on the call. Yes, it's been -- primarily, the impact has been in -- the largest impact has been in Asia, obviously, because that's where 80% of the apparel that's sold in this country is sourced from. And we had -- we did see a higher-than-expected disruption of around 20%. But we do expect as we -- and we're seeing this already as we move into Q1 and Q2, once everybody figures out what the final tariff numbers are going to be for each country, they can move their demand around accordingly. So we are expecting as we move through Q1, we're already seeing it and into Q2 and into Q3, demand actually grow from our Q4 levels in Asia. In the Americas, we're expecting uptick in our Central America business because we are having conversation with brands about moving some programs -- large programs back into that region. It does have a 10% tariff, whereas most of the Asian countries have a 20%, 19% tariff. So that's actually going to help us as we move forward through this calendar year and into our second half of our fiscal year. And in Brazil, we're not really seeing any demand volatility because of the tariffs, which is nice, but we have had short term some margin headwinds.
Anthony Chester Lebiedzinski: Understood. Okay. Just a follow-up about your comments about the pent-up demand. So in terms of thinking about the timing of these orders, so could we see some of these actually already in Q1? Or do you think it's going to be mostly a Q2 benefit? Just going back to your earlier comments about the pent-up demand for the holiday season.
Edmund M. Ingle: Yes. I would say that July was still acting and behaving like our sort of May, June period. But as we're into August and see the demand for September, we are seeing already increased orders coming through both from the Asia region and also from Central America.
Anthony Chester Lebiedzinski: That's definitely reassuring. Okay. And then in terms of the new product launches, I know you spoke about a few of those, but just wanted to get your thoughts as to which ones are you most excited about? And also just wondering as far as like when do you think these new initiatives will start to have a meaningful impact on your sales?
Edmund M. Ingle: Yes. Here in the Americas, we're especially excited about Fortisyn, which is that nylon durable, very strong yarn that we've developed, and it's being launched in both natural and in solution dyed colors. Going into the military is a -- has a long runway. It takes a lot of time and effort to get qualified. So we're moving through that process, but we're very excited about the ultimate demand we're going to see in the second half of this fiscal year and also on the profitability that will bring it -- because of the very value-added nature of that product, it's much higher margins. In Asia, it really stems around our REPREVE Takeback and our ThermaLoop innovations that we have alongside the A.M.Y. Peppermint. That's where we'll see that those initiatives and those innovations take off. This week, we actually launched a new version of our REPREVE Takeback at 100% textile Takeback. Last year, when we launched it, we had a 50% bottle and 50% textile waste. So that is going to also increase the demand. So those 3 products in Asia are what we're most excited about. And again, as Al had mentioned in his script, his conversation, we do expect the second half of the fiscal year in Asia to see the benefit of those 3 innovations.
Anthony Chester Lebiedzinski: Got you. Okay. And then I just wanted also to follow up about your comments, Eddie, about your improved competitive positioning. Is that mostly in the Americas? Or just maybe help us frame that and how impactful that could be?
Edmund M. Ingle: It's mostly in the Americas because of the plant consolidation we have. But I'd also say that over the last 18 to 24 months, as our Brazilian operation has grown in volumes, it's -- our costs in Brazil are also lower as we spread the fixed cost over a much larger base of sales. So I think we're -- primarily, the big benefit is in the U.S. because of the plant consolidation. As A.J. said, $20 million, we can see it, we can feel it. It's being offset a little bit by the productivity challenges we've had in Yadkinville. But as we put in that new production capabilities and new products into that space. But yes, Americas is where most of the savings are going to be.
Anthony Chester Lebiedzinski: Got you. Okay. And then lastly for me, can you give us an update on your Beyond Apparel initiative? How much of your revenue in fiscal '25 came from markets other than apparel and footwear? And how should we think about that in fiscal '26?
Edmund M. Ingle: Primarily, the Beyond Apparel initiative has been focused here in the U.S. And as we said, it's military, it's packaging, it's some other areas that -- and carpet that we haven't traditionally played in. We do -- we have Beyond Apparel efforts in automotive also. And we've seen the automotive demand pick up as we stand today. The other initiatives, military and carpet are taking a little bit longer, but they are -- we are -- we do have revenue today, and we expect that revenue to increase substantially in the second half. Packaging actually has seen a nice uptick, and we consider that Beyond Apparel this quarter, and we expect that to continue as the dynamics in the packaging area for sustainable solutions is continuing.
Albert P. Carey: Anthony, this is Al. I appreciate your question because we've been talking about Beyond Apparel for a long time. And I now understand the qualifications and the testing required to get the military business and the carpet business is way more than I had expected. You have to go through testing on durability, on color, on shipping, and it's taken quite a long time. But the good news is we're at the end of that and starting to see orders come in. So I think you'll see some of that business, a little bit of it in first half, a lot in the second half.
Operator: There are no further questions. That concludes our question-and-answer session, and that also concludes this call for today. Thank you all for joining. You may now disconnect.